Operator: Welcome to the Cameco Corporation third quarter resultsconference call. I would now like to turn the meeting over to Mr. Bob Lillie,Director, Investor Relations. Please go ahead, Mr. Lillie.
Bob Lillie: Thank you, operator, and good afternoon everyone. Welcome toCameco’s third quarter conference call to discuss the financial results. Thanksfor joining us. With us today are three of Cameco’s senior executives. Theyare Gerry Grandey, President and CEO; Kim Goheen, Senior Vice President andCFO; and Tim Gitzel, Senior Vice President and Chief Operating Officer. GeorgeAssie, SVP, Marketing and Business Development is traveling and not able to beon the call today. Also with us today is Alice Wong, Vice President ofInvestor, Corporate and Government Relations. Gerry will start things off withcomments on the highlights of the quarterly financial results, provide anoperational update and a few words on Cameco’s strategy and then we will getright to your questions. Today’s conference call is open to all members of theinvestment community and the media. During the question-and-answer session wewould ask that you ask one question only, followed by one follow-up question.If you have additional questions, please return to the queue until others havehad a chance to ask theirs. Please note that statements made during this call by thecompany regarding its objectives, projections, estimates, expectations orpredictions may be forward-looking statements within the meaning of applicablesecurities laws and regulations. The company cautions that such statements involve risks anduncertainties and that actual results may differ from those expressed orimplied. Important risk factors are outlined in the company’s annualinformation form dated March 30th, 2007. With that I’ll turn the things over to Gerry.
Gerald Grandey: Thank you very much and let me add my welcome to everyone onthe call. During my remarks today, I’m going to comment briefly on earnings,provide updates on activities at Port Hope and Cigar Lake, as well as how we areresponding to both those issues and then comment our strategy and how it isunfolding. Cameco had another good quarter. We continue to seeincreasing realized prices for uranium. In fact, we recorded the highestrealized price in Cameco’s history even though the spot price of uraniumactually fell during the quarter. These higher realized uranium pricesgenerated an outstanding gross profit margin of 67% for uranium in the quarterand made a significant contribution to Cameco’s earnings and cash flow. The earnings are particularly satisfying. Our adjustedquarterly net earnings after unusual items are more than five times higher thanlast year and our nine month earnings are more than double last year’s total,coming in at $539 million, another Cameco record. These strong earnings are driven by our uranium business,anchored by a powerful portfolio of uranium contracts that will continue todeliver superb results year after year, even with market fluctuations. Let mesummarize by saying we are in great financial shape and that we are returningvalue to our shareholders. Over the past couple of years, we have committed toconsider buybacks as a way to return excess cash to shareholders if acquisitiontargets are too richly valued. In early September, we announced an open market sharerepurchase program to buy back a maximum of 17.7 million shares and we havefollowed through. To the end of September, we have purchased almost 40% of thistarget. Now to the Port Hope conversion facility. In the MD&A weindicated that we expect to restart production in the latter part of the firstquarter of 2008. We have sufficient inventory on hand to meet deliverycommitments through that time, assuming deliveries proceed as planned. U02production is unaffected and continues at the site. Since discovering contamination at the UF6 facility in Julywe have drilled numerous test wells to identify the key affected area. We’vecompleted a root cause analysis to identity the cause. We’ve began correctiveactions and we’ve developed plans for improved monitoring. It’s important to note that there has been no effect on thesafety or health of the employees or the public. We are already taking steps tocontain and extract the very low levels of contamination. The staff at PortHope have worked long hard hours to deal with this situation and keep the localcommunity informed. We look forward to getting the plants running again in thecoming months. Now moving on to Cigar Lake. There too we’re making goodprogress. We’ve completed the holes necessary for dewatering and reinforced anadjacent tunnel. The concrete barrier plug in the tunnel where the inflowoccurred last October is nearing completion. We are now working on sealing thetop and bottom of the plug. Once that’s complete, we will finish foreignconcrete behind the plug to still avoid and rock pile where the inflowoccurred. We expect this to take about six more weeks. Prior to the watering, there are three more activities tocomplete: First, we will confirm that the plug works as designed; then we’llassess if additional measures are required in two other areas of the mine, andwe’ll submit an application and receive regulatory approval to dewater themine. I’d say we’re making good progress on each of these activities. At the same time, we are carrying out other assessments todevelop mine plans for future development and the completion of the secondshaft. You will find more detail on these and subsequent steps in the MD&A. Tomorrow, the Canadian Nuclear Safety Commission will bereviewing our application to renew and amend the Cigar Lake construction license that isscheduled to expire at the end of the year. We anticipate a decision from themin December, and we’ll provide an update on remediation progress at the time. Production startup remains 2011 at the earliest. Until themine has been dewatered and the condition of the underground development hasbeen assessed and incorporated into new mine development and production plans wewill not able to provide a firmer production startup date. As a final note on this topic, there is no off-the-shelfmanual to guide remediation at Cigar Lake.We know it’s challenging work. A precise process and timeline are difficult topredict. At the same time, I assure you that Cameco has the technical expertiseand management systems to meet this challenge. As I mentioned in our last conference call, the events of Cigar Lake and elsewhere led ourmanagement to renew its commitment to excellence and accountability throughoutthe organization. We continue to put in place the new management structure forall our operations led by Tim Gitzel, as I announced on the last conferencecall. That structure will provide the foundation for increased focus andaccountability across our operations. Further, I have challenged every Cameco employee to get backto basics in order to focus on our core business and achieve operationalexcellence. We have worked with our operating sites and divisions to identifykey priorities and make sure all of our activities are in line with thesepriorities. We have deferred or eliminated tasks or projects that are notconsidered mission critical and asked each of our divisions to continue toevaluate all work with the same lens. I have also followed up with direct communication to everyemployee as well as personal visits to the Saskatchewansites. In the months to come, I will be getting to other sites as well with anaim to meet people, talk to them directly about what excellence and gettingback to basics means for them. These visits have given me great confidence inour ability to meet our challenges because of the enthusiasm and dedication Isaw in our people and the example of excellence at each site. Our assets are world-class and our talent is top-notch. Iknow if we tighten our execution, we will remain a leader in our industry andthat’s what our renewed internal focus is all about. I would now like to discuss our strategy for growth. I will spenda few moments on this topic since we continue to get questions from investors. WhenI say strategy, those of you familiar with Cameco will know that we have overthe many years consistently positioned Cameco for long-term growth. In ourpursuit of value, our preference would have been to make a few largeacquisitions. However, rocketing uranium prices and a rejuvenated nuclearindustry sets valuations far beyond what we consider to be sustainableprofitable levels. So let me be clear. On my watch, we will not heed to publicmusing of short-term thinkers who want us to grab some headlines with a quickpurchase. We will not pay inflated prices just to acquire a company with theword “uranium” in its name. Cameco acquisitions must promise a significantcontribution to our bottom line. While we monitor the industry for larger acquisitions, wehave been steadily making strategic alliances and equity investments withuranium companies around the world. These announcements extend Cameco’s reachin Northern Canada, the United States, Australia,Paraguay, Russia,and Kazakhstan.These investments are likely to pay handsome rewards to investors afterexploration and development. We continue to work aggressively behind the scenes toevaluate other opportunities for growth in the nuclear industry. While we don’tissue a news release every time we think of making an acquisition, our uraniumconversion and enrichment teams are actively networking around the world inpursuit of growth opportunities. Our network of relationships throughout theindustry provides critical market intelligence on opportunities we mightpursue, as well as those we would be wise to stay away from. We are ready to strike when we see the right value, whichstrengthens Cameco over the long term. As I mentioned at the beginning of thecall, we have the financial strength to strike quickly when the right dealcomes along. I thank you for your attention. We will now open the call toquestions and either I or other members of the management team will respond.
Operator: Our first question is from Raymond Goldie - Salman Partners.
Raymond Goldie -Salman Partners: My question relates to Uranium 1 which talked about theiroperations in Kazakhstan,because of the shortage of sulfuric acid. I’m not even sure whether your partyuses sulfuric acid bur are you affected in any way by the situation?
Gerald Grandey: Ray, it is using sulfuric acid. We too are affected as we’vesaid in MD&A. We haven’t been affected to-date through the end of thequarter, but if the acid shortage were to persist, then they would begin toaffect us in quarter 4. Kazatomprom, which the government-owned enterprise seesthe acid situation coming back into balance sometimes in the first half of theyear maybe by March hopefully. In the interim, we and others that affected arelooking for alternate supplies of acid and other jurisdictions. But, I thinkone of the impediments there is transportation. But, not affected yet, but willbe if we don’t find alternative sources.
Raymond Goldie -Salman Partners: Well, thanks for your courtesy in taking a question to whichthe answer was in the MD&A.
Gerald Grandey: It’s a lot in MD&A, right?
Raymond Goldie -Salman Partners: Yes, there is a lot of earnings releases have come outwithin the last two to four weeks.
Gerald Grandey: Not a problem at all.
Raymond Goldie -Salman Partners: Thank you.
Operator: Your next question comes from Mark Caruso - MillenniumPartners.
Mark Caruso -Millennium Partners: In terms of Cigar Lake, is there any potential impact on thereview of the application that could push back the timing more as far as isthere a chance so they could be little more stringent with the process and waythat you’re going about remediation and so on?
Gerald Grandey: Mark, I think in this circumstance, the regulator is payinga lot of attention. That’s been true. Since the event we’re trying to, on adaily basis, work with them and make sure that questions that they have are answeredinto timely way. So, there is more scrutiny. You’d expect there to be morescrutiny, and we just try to work through it day-by-day.
Mark Caruso -Millennium Partners: As far as kind of expanding the business, was it just growenrichment or is that something that you are interested in?
Gerald Grandey: We’ve said consistently over the years that we would like toget into enrichment. We look at the available opportunities that are out thereand they are few and far between. But in pursuing enrichment as an objective,the guiding principle is that we want to do it, unless we see a way that it makeseconomic sense for Cameco and its shareholders.
Operator: Your next question comes from Greg Barnes - TD Newcrest.
Greg Barnes - TDNewcrest: You mentioned those two other areas of Cigar Lake that you’re investigating forpotential weakness, I guess. Could you give us some idea what those areas are,and what it means?
Gerald Grandey: Greg, there are two other areas that are larger opening thatwere done in the underground excavation. They’ve got technical names, one ofthem was established for the installation eventually of the clarifier. Theother one was for run-of-mine production and those areas because they arelarger openings, when we depressure by dewatering the mine and there’s apressure differential, we’re just trying to make sure that the support that wasput in place and that the geological structure is properly understood before wedo it. What we’re doing is just simply doing some geotechnical drilling intothat, into the areas just to understand the relative strength, weakness, andreinforcement that’s already there.
Greg Barnes - TDNewcrest: Is there potential for concrete or to pump concrete intothose areas as well?
Gerald Grandey: At this stage of the game, we don’t know. I’d say we don’tthink so, that’s certainly would be the last thing we would do to reinforce.But at this stage of the game, I think we are optimistic that there are otherways of making sure that it remains okay.
Greg Barnes - TDNewcrest: On that big broader strategy discussion you had, where doesBruce Power fit now?
Gerald Grandey: Bruce Power remains a core holding for Cameco. I think thatas we said from the beginning, it adds, from Cameco’s perspective, the ultimatein vertical integration where we take our own uranium and ultimately realizethe value of nuclear electricity. It does by virtue of being the onlyindependent nuclear operator in Canada, provide us growth opportunities notjust at the Bruce site perhaps elsewhere in Canada where they are looking foradditional nuclear as well, that being Ontario and perhaps Alberta.
Greg Barnes - TDNewcrest: Are you still looking at nuclear opportunities in the U.S.or have you backed away from that?
Gerald Grandey: We’ve backed away from it. I’d say we’re always looking, butin terms of active pursuit, recognizing that our cost to capital is a littlebit higher than most utilities that are regulated. These things became veryexpensive. Again when we do something as we try to demonstrate the South Texasproject, where we prevailed in the bit, but ultimately had the rights of firstrefusal will take it away from us and we will only do it in a way where it addsvalue we think to shareholders.
Operator: Your next question comes from Brian MacArthur - UBSSecurities.
Brian MacArthur - UBSSecurities: I want to go back to the updated chart here and just clarifyexactly what you have done Cigar Lake contracts and I’m talking about the charton page 21 that shows your realized price at a number of spot prices. I mean,if you look at it, the values are actually using a lower spot price nowquarter-over-quarter but your values realized go up in 2010 and 2011. I assume that, because we’ve deferred the Cigar Lake contracts and just put inspot, is that right?
Gerald Grandey: Brian, let me first say there is a lot of information andassumptions behind these tables. So morethan anything, I hope people are using and using them more as an indication ofa trend that we see and not trying to hang your hat on the last dollar that isthere. It is simply intended to give people of pretty good glimpseof where the realized prices would be trending over time. The further out yougo, the less certainly there is as with any forecast. One of things we’reconsidering is since it becomes so vague way out in the future, is there much utilityfor going beyond three to five years? But we’ll take a look at that in futurequarters, but I wouldn’t get too hung up beyond all this, I think in terms oftechnical details on your specific question, Alice probably better than anybodycan talk about what is the underlying assumption in ‘09,’10 or ‘11 vis-à-visCigar Lake. Alice, can yourespond to that?
Alice Wong: Brian, the change in ‘09 to ‘11 is the assumption – while thedecision hasn’t been finalized yet -- it is the assumption that we will makesome additional deferrals under our supply protection language in our contract.
Brian MacArthur - UBSSecurities: Basically we are getting the same affect that you saw inthis quarter where you are getting a much higher realized price because we aretaking up material under a lower contract and it’s been pushed into 2018 orwhatever it is you’re putting in the spot price now of $80 dollars instead of $120versus last quarter; but the last quarter you basically had the old contract init, is that correct?
Alice Wong: The last price table would not have assumed any additionaldeferrals.
Brian MacArthur - UBSSecurities: I mean you’re very clearly laid out a lot of, as Gerry says,a lot of assumption on this table but I just want to be clear. You deferredCigar thorough 2011 now in this table or 12?
Alice Wong: Brian it’s the impact of reduction in production and thelargest impact was Cigar, but you do remember that Cigar Lake base load contract is alreadyaccounted for, if we think they’ve been impacted, that always has been in theprice table. So the new assumption is that under the other contracts where wehave right to renew or defer for account deliveries, where we pro rata canreduce some of that and that’s the change; that’s what we’re doing. Cigar Lakebase we’ve always had that into the last couple of tables I believe -- well Iknow that. The change really is this additional reduction in supply due to therights that we have under the other contracts.
Operator: Your next question comes from John Redstone - DesjardinsSecurities.
John Redstone -Desjardins Securities: Yes, I’m sorry to belabor this point about the table withrealized prices, so I’ll try to make this as painless as possible. The tableshows if you realize a price average of a hundred bucks over the course of thisyear, your average realized price is around $39, and if you keep that goingnext year its $46 and change and yet you got $53 in the third quarter, couldyou give us a little bit more detail as why that was so high?
Gerald Grandey: John, just simply the timing of sales in the particularcontracts and we had a certain amount of material of what we were able to sellat the height of the spot market in this quarter. Of course then the spot pricecame down through the quarter so it’s just simply the way the contract andsales and deliveries have fallen in quarter three.
John Redstone -Desjardins Securities: So can I assume that premium is not sustainable?
Gerald Grandey: Quarter-to-quarter, we’ve always had that you shouldn’t readtoo much in the results.
John Redstone -Desjardins Securities: The expansion of McArthur River, any news on that?
Gerald Grandey: Still finding and still in the regulatory approval. In pastquarters have said that we need to demonstrate that the technology that we’vedeveloped for reducing the selenium in the effluent stream that technology issuccessful, and once we demonstrate that, we firmly that we will and thatshould be starting in early part of ’08. Then we should be able to begin makingprogress on the environmental permitting and licensing of the expansion. So Ithink we are still several years away.
Operator: Your next question comes from Borden Putnam - EastbourneCapital.
Borden Putnam - Eastbourne Capital: Thanks first of all for the increased disclosure on theMcArthur expansion plant site. You have done a bunch of work on that and talkedabout it in previous calls, and it’s good to see you talking about. Iappreciate it because it’s kind of murky topic. I want to go back to the question that Greg Barnesintroduced about the two additional areas, and you said that one of them wasthe clarifier area and the others are run-of-mine storage bin. Looking at somediagrams I have compiled over the years of following this, that zone looks likeit be about a 130 metersdistance from the area of the rock fall horizontally and at least 15 meters vertically. That’s rightat the bottom sort of a number one shaft and I would have thought that waspretty high integrity ground. Is there a falling affect from the loss of thefreezing circulation that’s affecting the integrity of that ground?
Gerald Grandey: No, that ground has never been frozen. The freezing that’sbeen done has been going on in ore body itself.
Borden Putnam - Eastbourne Capital: So why would thisground –
Gerald Grandey: We wanted to make sure that what we are doing is successfulhere so we’re looking at every eventuality.
Borden Putnam - Eastbourne Capital: No, it’s interesting.I wouldn’t have expected that to have a loss of integrity in that area.
Gerald Grandey: It hasn’t had a loss of integrity; we just want to make sureit doesn’t.
Borden Putnam - Eastbourne Capital: You mentioned in your start that you were going to test theplug before you begin dewatering, how will you do that?
Gerald Grandey: Lower the water level in shaft 1 and begin to watch itsrebound.
Borden Putnam - Eastbourne Capital: So that’s not included in the big one?
Gerald Grandey: The other way to do it is to pressure up a little bit on theupstream side of the plug where the fall is because we have got the holedrilled in there and then see what effect from a pressure perspective occurs onthe other side.
Borden Putnam - Eastbourne Capital: At the Key Lakethere was an issue about the treatment of concrete from backfilled that wasgetting through the mill. Tim and I talked about that last call, has that issuebeen resolved or is your progress along that improving?
Gerald Grandey: No, I think that issue is pretty well resolved, we put in ahydrogen peroxide circuit and that seems to be working quite well. Tim I don’tknow if you have anything you want to add to it.
Tim Gitzel: You’re right, we pretty well got that cleared up.
Operator: Your next question comes from Gene Mueller - private investor.
Gene Mueller -private investor : My question is about the hexafluoride plant in Ontario,the shut down there is now in its fourth month I believe and it sounds like youare looking at another four. What are you expecting it will cost to fix that problemand are there any circumstances that might take the reopening of that plantbeyond the first quarter as you say?
Gerald Grandey: The first quarter is our best estimate from what we knowright now. We are now on the road to gettingthe remediation in place working with a regulator, which is a requirement, itwill require regulatory approval before we restart. In order to understand the extent of the contamination underthe building we ended up removing a fair bit of piping and we are looking now atwhat needs to be done to make sure this situation doesn’t persist. So best guess of putting all of this back together andgetting started on the prevention is by the end of the first quarter of 2008, that’sour best estimate right now.
Gene Mueller -private investor: Is it a big price?
Gerald Grandey: Not so big.
Gene Mueller -private investor: In view of the age of the plant and the expected strongdemand internationally for enrichment material, what are your long-term plansfor that plant?
Gerald Grandey: Long-term plans are to get it back up and running. We havegot something called Vision 2010 that we have been pursuing both describing itlocally involving the citizens into a very, very large refurbishment of thatplant that would see it upgraded, see it get ready for production for manydecades to come. So we’re committed to remaining in the Port Hope area. We’recommitted to getting this plant back up and running. The implementation of 2010does require regulatory approval, but we hope to begin doing the refurbishmentin that timeframe. It will take a few years obviously, but that’s the objectivewe have.
Operator: Your next question comes from Ralph Sarr - SarrcoInvestments.
Ralph Sarr - SarrcoInvestments: Good afternoon and thanks for taking my question. Itrevolves around UEX, which has talked about some significant percentage ofuranium find. What is the relationship of Cameco and UEX, and might that be avery good possibility for an acquisition?
Gerald Grandey: Cameco was one of the founding shareholders of UEX. We, myrecollection is, have about 20% or 21% ownership in UEX. Yes, they’ve had somevery interesting drill results in the western part of the Athabascan Basin, a lot of drilling ahead. Whilewe look at everything we don’t make specific comments on acquisition targets.
Operator: Your next question comes from Steve Smith - privateinvestor.
Steve Smith - privateinvestor : My question is regarding the strategy for growth long-termand more specific to the labor market, as it is the lowest that it’s been inthree decades, Saskatchewan isbelow 4%. And you have referred to your top-notch talent, I am just curious tohow you are planning on sourcing that out in future?
Gerald Grandey: It is a challenge for anybody in the mining industry andcertainly anybody in the nuclear industry these days. We’re affected likeothers in terms of the hot market and booming economy. I would say given thevision and the mission we have in Cameco and the asset quality that we havebeen able and we have been successful inattracting the kind of talent that we need to operate the facilities that wehave. We talk a little bit about it in the terms of trying toachieve a higher level of operational excellence. It does mean more experts andmore geologists and more people to look after some of the technical details. Overthe last six or seven months, even with the tight labor market, we’ve beenremarkably successful in attracting people to come help us do what we do andultimately that’s to produce uranium to generate clean energy. So we have another advantage in that we have got 26 or socommunities that are in the area of our northern operations where we fly in,fly out people and we have very, very strong relationships with thosecommunities and their inhabitants and of course, it’s seven days on, seven daysoff. So there again it’s like growing talent in your backyard,making sure that the benefits that are coming out of business are flowing backinto these communities, and if the communities remains supportive. So, it’s notwithout a struggle, but so far we seemed to be managing throughout.
Steve Smith - privateinvestor : Do you see a push of importing workers from abroad orincreasing your foreign talent pool?
Gerald Grandey: We really haven’t seen a need to go down that track. Weobviously had been attracting people from abroad over the years. We’ve had anumber of nationalities that are working for us. But, we’re not targeting anyparticular country resource, even though other resource industries might be. Weseem to see enough success just drawing on the available talent pool byadvertising locally and through North America, when weneed to.
Operator: Your next question comes from Cliff Hale-Sanders - CIBCWorld Markets.
Cliff Hale-Sanders -CIBC World Markets : On Rabbit Lakewhere you outlined a radon gas problemyou’ve encountered over the past while which has resulted in loss productionfor ‘07. I just wondering if we should be concerned about your productionforecast going out, if you’re going to have to essentially go slow onproduction there just to moderate exposure levels for the employees there?
Tim Gitzel: We’re into that O2 Next area, which is a little deeper,little farther down, and we’ve got water units near the source of the gas. We’retaking steps we need to deal with that which has caused us to reduce a bit ourproduction for 2007 as you see in some of our projections going forward. Itwon’t be easy down there. It’s a little bit further, little bit deeper. But Ithink we’re taking the measures we need to make the production levels thatwe’ve set out in our quarterly report.
Cliff Hale-Sanders -CIBC World Markets: ‘08 and beyond, weshould still be comfortable going forward with those?
Tim Gitzel: Yes.
Cliff Hale-Sanders -CIBC World Markets: My second question really relates to your various foreignexchange hedging contracts that you have out there. Unfortunately, I don’t haveaccess to some of the technology I would like. Just wondering if you could dumbit down a little bit in the sense of what should we expected to be bringinginto your earnings profile over the next couple of years, both from youruranium business and the Bruce Power contract? In effect, what sort of impactshould we really be looking for? Obviously, it’s going to move around quite abit, but a little bit of guidance just to clean it up would be nice.
Gerald Grandey: Yes, we can talk about philosophy. We don’t forecastearnings, but I’ll let Kim address that.
Kim Goheen: Sure. On page 14 and15 of the MD&A, we show you at the top on page 15, we show you a littletable there that as of September 30, how those numbers would flow into earningsThat the gain. Page 14 really shows you the balance by year.
Cliff Hale-Sanders -CIBC World Markets: Could you just address what was in the Q3 numbers for me?
Kim Goheen: Well, the Q3 numbers we had year-to-date was $49 million ofgains from the derivative contracts themselves, made up of some hedges thatwere taking out of accounting, accounting qualified hedges, and then some othercurrency in hedges we hadn’t placed that did not qualify for hedge accounting.The two pieces together, year-to-date about $49 million.
Operator: Your next question comes from Ian Howat - National BankFinancial.
Ian Howat - NationalBank Financial: Yes, good afternoon, just in regard to Bruce Power, can yougive us some guidance on what the contract price was for power? What it wouldbe going forward next year, and what percentage or how much is actually undercontract for 2008?
Gerald Grandey: Ian I don’t have those statistics, may be Kim does, or wemight have to deal with that offline, but Kim do you have all it?
Kim Goheen: Ian, realized price here to date is about $52 per megawatthour and we don’t forecast 2008 material at this stage in time. Through the fourthquarter we will come out with some more information. So far year-to-date wehave had roughly a little over one-third of that portfolio has been undercontract.
Ian Howat - NationalBank Financial: What’s your plan going forward with your percentage ofamount being contacted?
Kim Goheen: Same avenue, we look at the opportunities as they comeforward but again, we really don’t forecast forward any specific numbers.
Ian Howat - NationalBank Financial: And so Bruce Power doesn’t have a set target amount for howmuch it wants under contract or spot?
Gerald Grandey: Well, there is a philosophy Ian of having a balance, when Isay balance its not 50-50, you see it this year at about 30; Kim I don’t knowwhat the discussions have been going forward?
Kim Goheen: Really Ian it’s not something that we disclose in any greatdepth, we have partners in that business, as Gerry said, we do look for abalance of contracted amounts and spot exposure.
Ian Howat - National BankFinancial: Just in the last quarter obviously, if only a third wascontracted the spot price was $47 and you did $53, may be should have moreunder contract?
Kim Goheen: Well that’s always the debate. If you look at, it was about50%, if you look at this year I said it will be about 36%, it really doesdepend on the opportunities that are available.
Operator: Your next question comes from Fadi Shadid - Friedman, Billings,Ramsey.
Fadi Shadid -Friedman, Billings, Ramsey: Your forecast rebounds back to the original 3 million poundsor so in ‘09, does that assume that these shortages go away and we are back tonormal?
Gerald Grandey: Fadi, it does. All of the conversations going on to date isthe asset supply should become available once again by first or second quarterof next year.
Fadi Shadid -Friedman, Billings, Ramsey: And it’s primarily the fire and that the delay at these newasset facilities, I mean is that why this deferred?
Gerald Grandey: Yes, deferred choice, that’s correct. Yes.
Fadi Shadid -Friedman, Billings, Ramsey: Longer term no reason at this point to think there is notenough sulphuric acid to go around?
Gerald Grandey: No. Longer term there is plenty of sulfur in Kazakhstanand surrounding countries and making sulfuric acid is relatively simple.
Operator: Your next question comes from Greg Barnes - TD Newcrest.
Greg Barnes - TDNewcrest: Levels of freezing at Cigar Lake now that it has effectivelybeen offline for a year, is the freezing disappearing I guess or what is thesituation on that?
Tim Gitzel: Well, the freezing obviously will start to dissipate overtime and we are anticipating that we will have to go back in and re-establishthe freezing and refreeze so, I don’t have the exact time line is to how longit takes for it to dissipate, it’s over years. So we’ve got some time to, we’llhave to go back and freeze these areas and probably freeze more areas than wehad anticipated.
Greg Barnes - TDNewcrest: Where was the freezing prior to the flood or how much hasbeen done?
Gerald Grandey: Well the freezing was up in the north and right around theore body, that’s where we had started the freezing getting prepared. So that’swhere we will go back. I think we arerelooking at all of the freezing. I think I said in the last quarter or thequarter before as to how much freezing we will do going forward and whether wewill freeze more, because it not only stops the water, but provides on groundsupport, so we are relooking at that.
Greg Barnes - TDNewcrest: I assume that’s all built into the 2011 as the earliestrestart date.
Gerald Grandey: Yes.
Tim Gitzel: That’s part of them.
Gerald Grandey: With all the caveats, we’ve got to get the mine dewateredand look at it all including how much of that existing freezing remains. I willsay that in the test mining phase, when we froze ground to do the test mining,and then stopped freezing, it remained frozen for quite a long period of time,it measured in years not just one year.
Operator: Your next question comes from Murray Lyons - Saskatoon StarPhoenix.
Murray Lyons - Saskatoon Star Phoenix: Yes gentlemen. Because of the timing of your third quarterresults, you follow the financial update from Ottawa.What do you think the eventual corporate tax rate that was proposed yesterdaywould do to your operations in the future and investment decision say versusinvesting in Australiaor the U.S.?
Gerald Grandey: Tim, can you respond to that the day after was done?
Tim Gitzel: Murray, we arelooking at the impact of those rate reductions. We don’t at this point believeit will be as a large one-time impact as we have shown in prior years. As tothe decision whether develop here or elsewhere, certainly all such decisionsare welcomed and will impact decisions that we make in the economic analysis isdone. But too early to describe it is making a seachange in any way.
Murray Lyons - Saskatoon Star Phoenix: Okay. Bob, I was just wondering whether 15% would put Canadaon a basis that would be competitive with the other jurisdictions that you’realready operate in.
Tim Gitzel: It’s one factor to consider only, Murray,there are so many others that come into such a decision.
Operator: Your next question comes from Borden Putnam - EastbourneCapital.
Borden Putnam - Eastbourne Capital: Gerry, on the Cigar Lake license, the original licensewas issued in 2004 and expires in December of this year. Would a normal renewalalso have a three-year term or would it be different?
Gerald Grandey: There is no standard term, Borden. I think, Tim, can youbetter respond to this?
Tim Gitzel: Yes, in fact, Borden, we are meeting there this afternoon wehave hearing tomorrow morning, and that’s part of it. The recommendation Ithink from staff is for a two-year period going forward. But there is no fixedtime limit set out for these. It’s just that they think that’s a reasonableamount of time to come back to the commission with an update us. So that’s whywe’re looking at two years.
Borden Putnam - Eastbourne Capital: But you’re asking, if I’ve understood the documents for anindefinite license period, why is that? Do you think it might get done sooneror that some of these, I don’t understand why ?
Tim Gitzel: It was more of an activity based request. We were saying,let us do the remediation plan and the drive the license off our progress onthe remediation.
Borden Putnam - Eastbourne Capital: They have come back with a license condition called thelicense condition 1.5, which they would hope to have risk assessmentsthird-party reviews and so forth, as part of each step in the process. I wonder would any documents like a 43-101come out of that, that we might have better insight into what’s being found andbeing recommended by a third-party, if this is agreed by the commission?
Tim Gitzel: Yes, if you look at our submissions to the CNSC, they arereally focused on three areas. It’s governance, quality and our safety culture,and the documents that flow around that including our corrective action planand progress on that.
Operator: Your next question comes from Orest Wowkodaw - Canaccord.
Orest Wowkodaw -Canaccord: You obviously had a pretty low tax rate this year, what canwe anticipate next year for overall effective tax? And then of that, whatportion you think would be deferred versus cash tax?
Tim Gitzel: Orest, the last question, I’m not going to get into on aforecast basis. Effective rate, what we have said in the past is again we willcome out with more specifics in Q4, but at this point, I don’t see any realdramatic change from what we have been telling you for this year.
Orest Wowkodaw -Canaccord: Okay. So next year could be just as low as this yearpotentially?
Tim Gitzel: That’s a good comment right now.
Operator: This will conclude the questions from the telephone lines. Iwould now like to turn the meeting back over to Mr. Gerry Grandey for hisclosing remarks.
Gerald Grandey: Thank you very much. I thank everyone both of those thathave asked question and those who have been listening by phone or certainly onthe website. We appreciate as always your interest in Cameco. As I said at the beginning, it’s an exciting time for boththe company and industry. We look forward to taking advantage of our financialstrength, the opportunities that we see out there to create additionallong-term value. In the coming days, we’re going to be hosting investorluncheons in New York and Torontoand we will be providing more detailed information about the company duringthose luncheons. Those events will take place on November 6 and 7 with livewebcasts that are available from the Cameco website that’s www.cameco.com andso we encourage everyone to go ahead and get on the website and listen orattend in person. So again thank you very much for your interest in thecompany.